Operator: Good day, and welcome to the Ryanair Full Year Results Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Michael O'Leary. Please go ahead, sir.
Michael O'Leary: Thank you, Cary, Good morning, ladies and gentlemen and welcome to the full year results conference call. I am with David O'Brien, here in New York, Howard Millar and the team is joining from London and from Dublin, You have seen results which we issued this morning. Full year net com is down 8% to $523 million which was slightly ahead of our previous guidance. Traffic was up 3% to 8 million passengers. Revenue per passenger was flat; thanks to strong ancillary sales and excluding fuel sector length adjusted unit costs fell by 3 percentage points. I think we’ve achieved a number of significant milestones over the year not least of which has been the significant improvements in the costs that were experienced which we’ve delivered over the six months and are continuing to rollout, led not leased by a dramatically new and improved website, in particular with a fare finder facility which enables most of our passengers to find the lowest fares and move days or date to suit themselves. We’ve launched 121 new routes, eight new bases in Athens, Thessaloniki, Brussels, Lisbon, Rome, Fiumicino; Catania, Lamezia, Palermo. We increased the aircraft order from 175 to 180 to take advantage of five relatively early deliveries in 2015 which bodes well with the spring outdoor and we’ve been extending our distribution platforms with hosting our flights at low fares on Google flight search and on our first TDS with travel port who operate Galileo and Worldspan GDSs and we completed almost 500 million in share buybacks. The key driver on the end results this year has obviously been the softer fare environment which we identified last September. The H2 fares fell by an average of 8%. We responded and reacted quickly to that last – at the end of August, last September by a standing a range of lower fares and beginning to eliminate a number of things that are – reaches the Ryanair stores that passengers didn’t like. The response to that has been dramatic over the last six months. We’ve seen a significant increase in forward-bookings. We’ve seen our load factors begin to rise and we expect those to be two key trends for the next six months through summer 2014. On the customer experience side, we moved allocated seating, a much simpler easier to use website with a fare finder facility which customers are really responding very favorably to. Second, small carry-on bags, lower boarding charge and airport bag fees, a new service to groups and corporate travelers which was taken on very quickly and very well. And in the next number of months, we will be rolling out a new family product as well as a new business service and later on this year, we expect to be doing more GDS announcing more distribution agreements with GDS. On the digital and distribution side, we’ve really transformed the business in the last six months. Our website which was worst-in-class it’s now moving very rapidly to being becoming best-in-class. You cannot get through it very quickly to make a booking. The fare finder facility is unique and something that passengers are responding very, very favorably to. In fact we note that one of competitors the easy jet recently announced their plans to copy our fare finder but they won’t have it for a number of months yet. The My Ryanair registration service which scores all payer customers’ details is building very quickly. We are up over 2 million passengers and in early of Mid-July, we expect to rollout a new specially developed mobile app as well as tailoring our website, apps, phones and smartphones. We are rolling out an extensive TV and outdoor advertising campaigns to support these customer experience improvement to other new digital platform and again, I think the byproducts are the results we are already beginning to see and I think the two key takeouts this morning is that forward bookings for the summer period from April through to September are running about five percentage points ahead of where they were this time last year even with the big events like the World Cup in the middle of the summer. So we are much more firmly booked further out. We expect obviously to give away some of that because we’ll need to sell less seats as we move through the summer period. But at this point in time we have reasonable visibility over the first half of the year we expect load factors to rise by about two percentage points month-on-month over last year. Fuel is 90% hedged at about $96 per barrel for the remainder of the year. That should kick in about a $70 million cost saving over last year’s number. It’s the saving itself is slightly higher but we expect to give back some on the de-icing where we had a very mild winter last year. And the balance sheet remains very strong. Over the year, we generated nearly $1 billion, just over $1 billion in free cash flows. We completed almost 500 million in share buybacks. CapEx was just over $500 million and we finished the year in a small net cash position. So during the year, when we are not taking many aircrafts we really are generating a lot of cash. At the outlook for FY 2015 is characterized by – we expect traffic to grow by 4%. We expect the load factors to rise 2 percentage points. We should get it very close to 85 million passengers. We are expecting a strong first half. Some of that I haze into add is the impact of Easter which was in April this year but not in the prior year comparable, and we expect April as an impact of $20 million to $30 million on net profit. The traffic growth in the first half will be modest because of the aircraft capacity issues. We are trying to smooth out some of those capacity issues by leasing in seven aircrafts this summer. We will be leasing those aircrafts from a number of sources, but they help us to maintain reasonable or modest capacity growth during the first half of the year. We are much more cautious on H2 and in H2 we expect to rollout a set of business products. We are going to be flushing out our frequencies and schedules on a range of business routes, particularly from Dublin and Stansted where we have increased capacity. We expect capacity in the second half of the year to be up 6% which is a big jump of our base. We will be opening new bases in exciting cities like Cologne Warsaw and Gdansk and we expect those to perform strongly but at weaker yields. We are also come to the fact that last year we didn’t foresee the price weakness as we moved into the winter period, and therefore we are nervous about pricing into the winter and our own capacity growth and accordingly we are guiding yields down 6 percentage to 8 percentage points for the second half of the year which will mean that overall for the year, full year yields should be up about 2%. And ancillaries will be per customer be broadly flat. The unit cost will be broadly flat characterized by $70 million savings in oil, but some small rises in unit costs, particularly around the charges at primary airports and we are adding airports like Rome Fiumicino, Lisbon and Athens. And increased sales and marketing spend that will go up by approximately $25 million this year or something less than $0.50 per passenger. We will also have the winter ownership of 11 aircrafts which we start taking deliveries in September the new aircraft order. We will have the ownership of those aircrafts for six months, but very little revenues arising from and we won't have the ownership cost, because we didn’t take any deliveries last year in the prior year comparable. However, I think again, the overall message that unit cost broadly will be flat, is strong where yields will be rising. And accordingly we are guiding for a significant jump in full year profitability from last year figure of $523 million. We are now guiding that this year; subject obviously to H2 yields will fall in a range between $580 million and $620 million. Howard, would you like to add any comments to that?
Howard Millar: So, Michael, yes, I think, we should say that, the business is in very, very strong position. We’ve got the S&P rating as you said and Fitch with BBB+. We now have a platform which will enable us to finance the aircraft. We are in the process of looking at a Euro bond which will obviously for at least a minimum of $500 million for that type of a charge. So we have a lot of the building blocks in place to finance our long-term fleet delivery program.
Michael O'Leary: Hey. Is that done? Hey, Cary, you can open it up for questions please.
Operator: (Operator Instructions) We will take our first question Edward Stanford of (Inaudible).
Unidentified Analyst: Good morning everybody. Very quick point of clarification if I may, when you are talking about the fuel cost savings for the current year, did I – I am assuming you’ve adjusted that for an estimated increased in de-icing cost, so that’s net of the increase?
Howard Millar: That’s correct, yes.
Unidentified Analyst: Thank you.
Howard Millar: Okay, we have a question here, so, Jarrod, would you like to introduce yourself?
Jarrod Castle – UBS Investment Bank: Thanks, Howard, it’s Jarrod Castle from UBS, three if I may. Can you maybe just give a bit of color on industry capacity? Some of your competitors have been talking about that and especially on your rates going into the summer? Secondly, just on the growth, can you may be split it up between increased frequency, that on new rates, especially given the launch of the business product? And then, just lastly, just in terms of the special dividend, any reason for pushing that into Q4, for a lot of them paying it, thanks.
Michael O'Leary: Very good, with the capacity, we – there has been some small capacity additions around the network this summer. Some of it in airports I think Rome, Fiumicino is one where we’ve added a significant amount of domestic capacity to take advantage of the Alitalia situation, we’ve been followed in by EasyJet and adding their capacity. But frankly, there is a bit of a repay of that in Brussels, Zaventem, those were – because we added the capacity first, we were in there earlier than anybody else. We’ve characterized by very strong load factors close to 90% in the first couple of months in Fiumicino and Zaventem. The others tend to follow in but at higher prices. So I am not we sure we know this fact much about what the competitors are doing. I think there is going to be more downward pressure on fares at winter where we will be adding significant daily frequencies to routes, business routes out of London, Stansted and targeting not just the outbound business market that lives up around Stansted, Cambridge, Norfolk, Suffolk area, but also inbound business coming back into London. If you look at places like Lisbon, at the moment, the only choice they have from and its relatively high fare is EasyJet back into to Gatwick. We think we will switch a lot of those business passengers, where Stansted is perfectly acceptable particularly to traveling to city of London. In fact it’s more convenient than Gatwick that will be replicated in routes where we have building frequencies between places like Brussels to Rome and Brussels, Lisbon. Lisbon, Dublin, out of Dublin for example this winter we are going double daily, we used to be daily last year, we are going double daily on Madrid, Barcelona, Rome, Milan, and a number of those cities. And we think we will provide a really good business schedule for Irish business people traveling to European cities where the only competitor which is – is generally just provides the daily service. We will be providing double dailies, lower fares, fast track to security and a number of other features which will make the business very saving. With that, I think, the capacity growth it will put a downward pressure on fares and yields and that’s why we are so cautious this winter. The split on growth between new markets and frequencies in the winter schedule it will be about 50-50. There still, we will have new routes in – first will be in the first winter in a lot of new bases. Athens will be the first winter, the new ones, Cologne, Warsaw which I think will grow quite strongly. Gdansk, which is also is a base, we see a lot of potential growth there in those markets, where you have operators like, or EasyJet or who are pricing typically about on average between 60% and 90% higher than Ryanair’s prices. And the Q4 dividend, no reason at this point time we just slightly it was better to paid into Q4. There was some interest from particularly Irish individual shareholders that dividend we paid is a new tax year in calendar 2015 and then more or less suited us from a cash management point of view to pay it in Q4 this year.
Jarrod Castle – UBS Investment Bank: So, it’s in the period where our cash flows are at the strongest, Q4, particularly as we get back up for the Christmas period and to the New Year, lot of people are making to some way of travel plans, so we felt that it was probably – it suited best with our cash flow generation.
Howard Millar: Thanks, Jarrod.
Michael O'Leary: Next question please
Howard Millar: We have another question here from Stephen Furlong.
Stephen Furlong – Davy: Yes, hi, I am Stephen Furlong from Davy. So, in just to have the effect, what you see whereas you are releasing the schedules early both summer and winter, how does that help you? Maybe just talk about as well the kind of business products that you are looking at in terms of where you ate thinking that would be fast track through airports and then just on the costs, or just, get a feeling where you would see sector length going over the coming 12 months or so? Thanks.
Michael O'Leary: Thanks, the impact of releasing the schedules has been pretty dramatic, I think, one of these has been a byproduct of the fact actually that haven’t had much capacity growth this year, but historically we would kind of release the schedules pretty late, mainly because we were engaged in a 11 hour negotiations with multiple airports or multiple potential bases. And you’ve got the best deal by delaying and delaying and delaying and delaying. But I think it undermines confidence in our schedules particularly with some of the regular passengers where we will be having a lot of schedule changes in March for the month of April and May. And passengers, particularly when we were cutting capacities in Stansted and Dublin in recent years, some of our frequencies went back down from four, five to two flights a day. And it’s been, I think an important – we have some – particularly our business customers out of Ireland and out of UK where we have a large percentage of business travelers couldn’t rely on the schedules and also, we found ourselves with the website which is our own website which is very clunky dysfunctional, competitor airlines who have typically their average fares at 60% to 80% higher than ours. We are able to use a better website to price down on top of a six months out because our yield curve was a bit like a Nike – but it started high, it dip down in the middle and then turned back up. They were able to price down further out because they had a bit more flexibility and a better website than we had and so they were able to close what this kind of apparent other was only at €10 or €20 difference between them. What’s happening now is, we actually launched the summer schedule early. Our winter schedule was out before EasyJet, Vueling, Norwegian, anybody else. And there is a much more credible and less volatile schedule on key business markets which has meant that in the summer, we are in the key bases why we are 5% stronger forward booking is in part because of our lower fares but also because actually we got the schedules that was there typically three months earlier than a year before. At this time, on this date last year we have loaded about half of winter schedule and the number of bookings that we have taken with less than 100,000. This time, this year the winter schedule has been finalized out there for a period of over – about three or four weeks and forward-bookings into the winter which is a quiet period are now over half a million. On the other point, the business product, we’ve annunciated some of the features. We will be rolling it out towards the end of August as we move into the winter schedule, it will be backed up at heavy weight advertising in business media and business press. But what it consists of is obviously still far lower fares than any other airlines and fast track – lower fares than any other airlines. A premium however compared to our normal fares. The service will consist of a changeable tickets, flexi-tickets out and back, fast track through security at most of our major airports, free reserve seating, free for already boarding, free check in bag, if you want to check in out at back and we will generally, if you are traveling on one of our flexi fares there is an issue, we will resolve that issue in your favor. So, we are not going to be arguing. If you are one of our flexi passengers, we are not going to be arguing which is your bag is one kilo over the extra. We will be identifying you as a premium customer and trying to looking after you as a premium customer. And on cost, at this stage, Steve, that sector length will be relatively stable over the next 12 months. There is a lot of shorter domestic flying in some of the winter schedules. And I think we are planning on sector length, it may be up 1% for the full year, but it’s flat to up 1%.
Howard Millar: Okay, we do have a question, Neil.
Neil Glynn – Crédit Suisse: Neil Glynn from Crédit Suisse. If I can ask two please. First of all, on the cost base for this year, more thinking beyond FY 2015, how sticky should some of those increases in unit costs prove and you obviously talked at the Investor Day last year about keeping unit costs flat over the medium term, it’s not still the best way to think about things? And then, second question, if I look back – when your last batch of aircrafts were delivering, you were growing double-digits annually obviously and I guess the rule of thumb back there was usually average fare down, unit cost down into your next financial year, FY 2016 you will obviously growing by 8% per year as we can see on the slide there. How do you steer the business while you are growing high single-digits? Is average fare down ex-fuel unit cost down still an appropriate way to think about that?
Howard Millar: Okay, well in terms of unit cost outlook, we would expect a – something like a 5% increase in non-fuel cost. Some of that is a one-time step-up associated with the increased marketing costs. When we look at the breakup of the unit cost increase, about 40% is there, the 5% is equivalent to about €100 million of an increased cost, about 40% to 45% to that is related to airport charges. And the balance then about €25 million is what Michael talked about earlier on the winter aircraft deliveries and also the fact that we have seven more aircrafts delivering across this summer. The balance of about €25 million or so is from airport charges. Hopefully, the – some release in the cost won't occur again, so that’s non-recurring as it were. The marketing costs, we stepped up to a level, I am sure Kenny would like to have another €100 million in his marketing budget up unfortunately it’s not going to happen. So I think that’s a one-time step-up which increases our cost base. Airport charges – what’s going to happen there is, as we increase our route network, particularly as 25% of our future growth is coming out of Stansted that’s going to come at a lower unit cost at Stansted. So if I give it to simply, the more we grow with Stansted, the more our unit costs are and we look at where we are going to grow at with Stansted that will be to some primary but some secondary airports as well. So overall, you will see unit cost up €1 this year. But as we push out with load factor increases this year, we are going to go from 83% to 85%. If we grow more and we would hope to increase that by another 1% or 2%, you will have – that will have a positive impact on unit cost per passenger, because you will have obviously more passengers to square that cost across. So if we kind of took a medium-term look at the business, we see aircraft and ownership costs falling, because we are going to get more and more of those 737, 800s. We talked last year about having enough to similar price, but in euro terms each one of those aircraft is going to be cheaper than deliveries we got in 1999. So as it get more and more of those aircraft unit cost per passenger should fall. So you will have a balance within the network you will have a rise in load factor which is held for fee unit cost, ownership cost going down, sales and marketing is a one-time, so that shouldn’t change. So the only thing that might change is airport costs obviously bookings are matching that between the benefit we’ve got at Stansted. The under secondary airport deals that we do, so, broadly we would expect the cost base as we’ve said previously, to not be significantly different from what it is at the moment. Is there anything?
Michael O'Leary: I would echo that, I think the two key drivers – at moving to the second point to the question, Neil which was, do we – in the old days, volumes up, fare is down and unit cost down, I suspect what happens going forward as volumes rise, passenger growth will be stronger, because we think there is room for us to expand our load factors, EasyJet for example, have about a 6% load factor gain on ours and we are going to move into that space. The aircraft will be the compelling unit cost driver for the next five years that we are taking in aircrafts that are going to be dramatically lower cost in euro terms because of the weak dollar as the price was pretty much like-for-like in dollar terms. But I would imagine that what you are going to see therefore is significantly lower aircraft costs reasonable staff, the one up tick could be airport to the extent that we are allocating aircraft assets, to primary – a more expensive primary airport. While we are seeing in places like Athens, Fiumicino, Lisbon and Brussels, Zaventem, is, higher yields. Remember we are pricing in typically about a 50% discount to the local flight carrier which could Athens, Brussels, Olympic and Aegean, TAP, but a dramatic uptick by passengers stronger forward bookings but at higher yields. Now I don’t expect that higher yields and higher unit costs will survive over the longer term, but we are clearly going to move into the space currently occupied by the likes of EasyJet, Norwegian, Vueling to an extent and then also the kind of TAP’s Alitalia ’s Aegean and Olympic. And so I would imagine that you will see unit cost stability going forward lower aircraft cost maybe slightly higher airport fees but stronger yield performance and remember, our yields currently are typically the next closest towards which is a group of airlines around EasyJet, Vueling, Norwegian. Their average fares are between 80% to 90% higher than ours. So we have a lot of headroom here, but with much better unit cost discipline than any of those other airlines.
Neil Glynn – Crédit Suisse: Right, thank you.
Oliver Sleath – Barclays Capital: Hi, it’s Oliver Sleath from Barclays. Just three questions please. Firstly, on the primary airports, it sounds like from the statement – little bit better than you expected, so, could you talk about what’s driving on? How is the competition been actually? Say for instance, in Rome, how is Alitalia being responding, how is – being responding? Have you seen them maybe not responding quite as aggressively as you had expected? Secondly, could you just talk about, on the business process initiative, it all sounds quite exciting, it taken EasyJet five years of their strategy to even get the 20% share of business passengers. So, I mean, how do you see that you can push down more quickly than they can? What advantages you have over them to drive your share? And finally, just one reflection looking back, do you have any more thoughts on what happened last winter? Thank you.
Michael O'Leary: I am going to ask David O’Brien, our new Chief Commercial Officer to answer the first part of that Oliver. David?
David O’Brien: Okay, in terms of Rome, Brussels and we don’t actually see much of a response at all. We don’t notice a response there. Our load factors are excellent. We do notice that their pricing is low for them which is having no effect on us. And in the case Athens and Aegean we see them in reduced capacity within months on their main routes. So, no real meaningful competitor response at this time.
Michael O'Leary: And on the passenger initiatives, Oliver, I think the difference between us and EasyJet, I mean, what’s misunderstood about our business at the moment is we already have about 20% of our passengers traveling on business, in fact it’s slightly higher than that. And, but we expect that to grow, what we don’t have is a big percentage of business passengers at an airport like Stansted, or at Dublin we haven’t focused on those business schedules, more frankly our Stansted City airport at recent years. Why I think we have built our business market much faster than EasyJet where have done will be, A, we have much lower fares. B, we have actually access into far more airports than EasyJet does, they have a relatively narrow operation focused largely across a couple of airports like Gatwick and the Paris airport and in markets where we come up against EasyJet, they tend to retreat from competition with us. We have many examples that that would move from south at Stansted to south end, Liverpool, to Manchester with room from Ireland altogether. It’s something that EasyJet is a very good airline and they’ve clearly shown us somewhere areas but we can improve our business on the customer experience side, driving up the load factor, but what they haven’t shown us is, how to offer low fares. We have a huge headroom in terms of unit cost leadership over EasyJet, we have a – headroom in price advantage over them and we can move into whether it’s their markets or Wailing markets or Norwegian markets or anybody else’s markets, but what we’ve seen in the last 12, 18 months has been a sea change in attitude by the primary airports across Europe. So you have airports like Lisbon, like Athens who even 18 months ago wouldn’t talk to us now recognize that we are the only future they have, otherwise Olympic and Aegean are going to keep quoting capacity. Rome, Fiumicino couldn’t have been more helpful to opening up a base in Fiumicino recognizing that there was a real question mark over Alitalia ’s survival and even if Alitalia do survive, the medicine maybe very deep cuts in Alitalia ’s domestic and short haul European operations, where they lose the most amount of money. So, I think, we expect to build the business – a business clientele very quickly. I think the product we have is a very exciting one. We have the cost base and the unit cost advantage to be able to build frequency very quickly and I suspect that that whether you will see that. I mean, seeing the first elements of that already as we move into this summer. Now, the first half of the year is, somewhat I caution is, so much distracted to start of the Easter. But, for an airline of our size that our load factor to be rolling into the first half of the year with 5% more seats already sold than we were at this time last year, I think is a real indication that the improvement in the customer experience and the digital is working and customers are really responding very rapidly to the changes we’ve been making. On the last issue, we still can’t quite explain the price weakness of last winter. And it was mirrored by many of our competitors except they only mirrored it after we identified the issue, we responded very quickly with lower fares and the range and the customer service improvement and as you can see with the 1% growth in load factors through the winter, in fact, it was almost 2% growth in March and April, it’s working in our case. But the difference in our case is we’ve always had the lowest fares, there is a perception out there that we haven’t had a very good service or that our service is a little bit narrowly focused on low price on-time flights and not losing your bags. And we are making real and meaningful improvements now in the customer experience and customers seem to like what we are doing.
Howard Millar: Michael, I have here Kenny with me here, so I’d like to just ask Kenny jumping out on the business product.
Kenny: So, I’ll just expand the few of those points that Michael has made. The business grew for past years, we’ve got the lowest fares, we’ve already got a good network of routes, got to going to get better route more primary airports. The GDS notes that we are now, we have our travel port partnership, there will be another partnership announced later this year. So that would make the Ryanair product more available to the corporate sector. In addition, when we talk to business customers, it’s always about mobile, so, that will be a big, big feature of the product just being able to find a flight, book a flight, manage your booking and board the airplane actually with the mobile boarding pass because business customers said, you just make it totally mobile and that’s what they are looking for. And finally, we will communicate with them. We have just done our first kind of European advertising campaign and we are very happy how that has worked out in terms of – how it’s caused people to visit the website reappraise, what Ryanair is about and how we are changing. Once we also start to communicate with business passengers in the right way with the spoke product at the right time with all those other changes that Michael has outlined, that’s a compelling offer that allow us to move quite quickly.
Howard Millar: Thanks, Kenny.
Michael O'Leary: Thanks, Kenny. We have another question here. Olivia?
Alexia Dogani – Goldman Sachs: Hi, it’s Alexia Dogani from Goldman Sachs. I have two – three questions please as well. Just firstly, can you give us a view of the unit cost performance between H1 and H2 given the difference between capacity growth? Then, secondly, I think, Michael said that ancillary revenue per passenger should be flat for the full year. Is that right? And if so, how you change your view of allocated seating over compensating the changes in priority boarding? And then finally, in terms of capacity growth medium-term, I mean, we’ll be now doing now, sort of capacity growth plans to now 8%. Do you think that the right number sort of medium-term or would you look to take opportunities of taking at other aircrafts from Boeing if they were to become available? Thanks.
Howard Millar: Okay, so the first question was what’s fit in, in cost between H1 and H2, well, as much of the growth is focused on the increased capacity is growing about 60% of the full year capacity is going in H2. We’d expect unit cost to rise a little bit quicker in H2, a bit slower obviously in Q1, because all of those deals were already done sometime ago, so if you are looking at the 5% slightly more in the second half, slightly less in the first half. And I’ll maybe just talk then about the aircraft, if you look at our delivery program, we are short on capacity for summer 2015. That’s why we took those additional four aircrafts from Boeing if they can spring another five or six aircrafts from Boeing for 2015, we’d be only too delighted to take them, but at this stage that’s probably unlikely. Once we get past summer 2015 into 2016 and 2017 and 2018, you can see we’ve nearly got a net 40 aircraft in each year thereafter, that’s absolutely sufficient for us to grow over that period. However, if somebody try to open a door at a price we couldn’t refuse, clearly we’d have to think about that, but that’s pretty much the plan that over the next couple of years. In terms of ancillary revenues, there is a trade here, we change from 17 clicks to 5 clicks, you may recall last November. So, all those products we used to offer during the booking process, the conversion rate on those has fallen. We’ve also reduced the boarding card re-issue fees, bag charges, we’ve made a lot of change in terms of the point of contact with passengers, they’ve had a negative effect on ancillary revenues. However, there is a big positive here, the big positive here is we really started to rollout allocated seating from April. We are happy with the way it’s progressing. It is a customer leering experience happening here and we expect for this year, the revenues we’ve lost from those other products and newer things we’ve changed on the website will be offset by the rise in allocated seating and then in the more medium-term as we start to move in, as we are past our first summer as we get into the next summer, we expect that to be a near positive. Anything you want to add to that Michael?
Michael O'Leary: Yes, I’ll put in some in context that in the numbers we’ve reported there, remember that ancillary revenues have increased by 17% in the last 12 months. So – what we originally had thought was that the – we would immediately lose revenues from the loss of our cutting the bag fees, the airport fees and some of the internet booking fees. What actually happened was that the boarding and the allocated seating grew more strongly than we had expected. But we expect that to stabilize as we rollout over the next 12 months. It may continue to rise stronger. Some of it also will be – because it will be by the end of second half of the year as we rollout the business product it will actually finish up – the ancillary revenues will finish up in the business fare, because many of these products will be included free of charge in the business fare. So there will be a little bit of a distribution away from ancillary revenues and into the underlying fare in the second half of the year depending on the uptick of the business product. As Howard said and then on the aircraft we will be entirely opportunistic if there is a cheap aircraft available out there, and I wouldn’t rule it out, because, they carry the manufacturers had very large order books out there. Boeing are working on the Max program. A lot depends when they start to deliver the Max and of the tail end of the production on the 737 and A&Ps will be. If there are other opportunities on the A&Ps and Boeing wants to take more aircrafts from the dollar prices that we previously disclosed, certainly where the euro is at the moment, we’d be very happy to do so.
Howard Millar: So, I think we want to say that ancillary revenues will grow in total round about 4% but on a per passenger basis broadly flat.
Alexia Dogani – Goldman Sachs: Thanks.
Michael O'Leary: Any other questions?
Howard Millar: We don’t have any from the room here Michael.
Michael O'Leary: Okay, Cary, anything else on the phones?
Operator: Okay, so we will take our next question from Savanthi Syth of Raymond James.
Savanthi Syth – Raymond James: Hey, good morning. Regarding your load factor strategy, you can adjust fares to fill up the aircraft. So I understand that, I was wondering is there a load factor that you are targeting and how that would trend over the year? And how much of that load factor would depend on just generating more business traffic, especially in the winter time?
Michael O'Leary: Yes, I think, if you look at where do we expect load factor in last year, well, 83% it was actually 82.5%, let’s say 83%. EasyJet load factors however were still 90% with higher fares than we have. So we think there is probably another 5% of load factor, maybe 5 or 6 points of load factor. Now, we could get there straight away, but that would be overly a dilution rate. We expect those to grow over the next three years to see load factors rise by on average 2% a year. So we expect to move from kind of 83% last year, 85% this year, 87% next year, and then 89% in two years’ time even as we take more aircrafts. And I think some of that will also be our experience at moving into primary airports. The one thing we have been impressed with about the primary airport is the price advantage we have over the incumbent’s carrier including at places like Rome, Fiumicino where you notionally have Vueling and EasyJet. Our load factors are north of 90% almost straight out of the blocks at low prices. Now, we have higher airport fees, but we expect that over time as we build a presence in those markets and begin to focus on families and a business product which you will see those load factors be maintained with forward bookings and yields building. And so, I think it’s reasonable to expect internal that load factors will rise by about 2% a year for the next two or three years. And bring in into line with where EasyJet are or finish like the head of EasyJet which, given that we have lower aircrafts and probably where we should be.
Savanthi Syth – Raymond James: That's helpful. Would you expect your load factors, at least the kind of the difference between your summer load factors and winter load factors to narrow somewhat given your change in focus?
Michael O'Leary: No, we would expect to – the rise in load factors to be pretty consistent across the piece. We expect the summer load factors to rise by – in fact, this year, it’s almost easier for the summer load factor to rise by two percentage points because we don’t have much capacity increase whereas there will be a big capacity increase in the winter and it might be a bit tough to maintain a large capacity increase. Capacity will be up 8% in the winter or 6% in the winter. It might be tough to make to get that and build frequency and build load factor growth. Now what we’ve set out in the guidance is we get the load factor growth, but it may come in H2 at the expense of fares and yields and if it does have good ultimately prior business model we like periods of low fare that investors may know, but if you look at last winter where we responded quickly with lower fares, we’ve blown off lot of the competition out of the water. You’ll see that in the results, they reported by some of them in the recent weeks, some of them were dreadful because they can’t compete with our prices.
Savanthi Syth – Raymond James: That makes sense. All right. Thanks, Michael.
Michael O'Leary: Thank you very much. Any other questions?
Operator: Yes. We will take our next question from Gerard Moore of Investec. Please go ahead.
Gerard Moore – Investec: Hi, good morning. Just one follow-up question please. I was wondering if you'd give us a bit of feedback on your experience with GDS so far. I know it's early days but can you see for example, are you getting higher yields on GDS fares once taken into account obviously the commission that the GDS systems are getting themselves? So may be just your experience on that so far? Thanks.
Michael O'Leary: The experience so far, Jerry, is very limited, we only have – in effect with Galileo and worse than, we only have the first month, but what I would say, and I don’t want to get in too much detail is that, the volumes in the first months were reasonably modest and – but the average fares were a significant percentage above our system-wide average fares. We would expect over the months, we need to do some work ourselves with that, we certainly need a second and maybe a third GDS agreement. We won’t have those in place I suspect until we move into the winter schedule. But we would expect that it would be a trend that would build continuously throughout the next 12 months. So the volumes in our overall would be relatively small but they will be significantly higher yielding and the average fares be paid by those passengers will more than cover the GDS cost.
Gerard Moore – Investec: Thank you.
Michael O'Leary: Thanks, Gerard.
Operator: We will take our next question from Peni Butcher of Morgan Stanley. Please go ahead.
Penelope Butcher – Morgan Stanley: Hi, Michael, Hi Howard. Just a two quick follow-ups from my side. With regard to the unit cost guidance, you gave a very helpful breakdown by the cost line, could you just remind us where labor sits in that equation of inflation or the deals that you have in place for fiscal 2015 and how that may contribute to the number? And the second question is just a quick clarification on the growth CapEx that you are still planning for fiscal 2015. Thanks.
Howard Millar: Thanks, Peni. Yes, labor will continue to be modest or we’ve recently agreed a 2% pay increase on basic pay for most of that – all the cabmen crew. And that proportion of the pilots, those bases, there was about 12 bases which came up for renewal in March this year and almost all of those have extended for a five year period with a 2% pay increase. But there will be some also, as we move into next year, labor – we expect the labor cost there will be some headcount growth particularly towards the second half of the year as we gear for the increased fleet numbers into summer of 2015, we take delivery of – into total of 11 aircrafts by the end of between September and March 2015, but it’s actually 21 aircrafts in advance of the summer 2015 peak, so between April and July, we take another ten. We’ll need to gear up on those. So, the labor cost growth will be ahead of 2%, something of the order of between 5% and 7% for the next 12 months. Our CapEx growth this year, FY 2015 will be circa, growth CapEx about €600 million, about €1 billion then for FY 2016, 2017 and 2018 and then on the basis of the current deliveries we’ll tail off to something between €700 million and €800 million in FY 2019.
Penelope Butcher – Morgan Stanley: That’s great. Thank you very much.
Howard Millar: Thanks, Peni.
Operator: We will take our next question from Anand Date of Deutsche Bank. Please go ahead.
Anand Date – Deutsche Bank: Yes, hi morning everyone. So I just had a couple of questions as well. Just on winter, I just wanted to understand your full commitment to the investment, I mean – suppose you are saying fares could be down 7%, that's fine, off potentially a low base. But suppose fares for whatever reason were down 15%, does that lead you to go back to how you were or are you committed to this better frequency, better network for the business passengers? And then also, if you could give your view on what happens with Europe investigating Etihad and what they're doing with Air Berlin and Alitalia and if we had a situation like Malev, do you have the capacity if you needed to kind of jump in if there was radical restructuring there? And then just lastly a quick one on fuel costs, does the €70 million include any extra weight assumptions for bags, for the second bag that you can take on, for better loads et cetera? Thanks.
Michael O'Leary: Okay, thank you. It’s fares we – no, we published the winter schedule, the capacity will be up between 6% and 8% this winter. We are pretty conservative given where we think we are on forward fare guidance, but with zero visibility down 6% to 8% of what was the weak winter pricing environment last winter, fares go down by 15%. It will keep going. It will mean that, the full year guidance will have to be revised downwards, but if something happens that our fares to go down about 15% or 16% and there are already some 60% cheaper than every other competitor, so there will be blood all over the world, among the competition and we will still take the traffic. We have committed to the winter schedules, we are going to execute, we are going to deliver the business products and we are going to deliver a significantly improved customer experience for all of our customers whether traveling on business or leisure. Europe, investigating Etihad, look, frankly we don’t really care. I mean, it’s – obvious that they now own and control Air Berlin. What they are seeking to do with Alitalia would clearly be in breach of the EU ownership rules, but, Swiss Air, for example have been in breach of the EU ownership rules for years. They are owned and controlled by American investors and Europe has turned a blind eye to it. So I don’t think it makes a lot of difference. We compete with whoever happens to be there, whether it’s Air Berlin or it’s Alitalia . What we wouldn’t like to see, there would be a repetition of the Malev experience. We prefer to see airlines dwindle away slowly like Alitalia or Air Lingus or TAP or Olympic Aegean. When they blow up like Malev, there is a back, we rushed down in there, became the number one airline in Budapest within kind of two or three months, but we were paying the full airport charges which we since – we structured but only by taking about 1 million passengers out of the airport. So, we would prefer situations that presently exists in places like Portugal, Italy, Greece, Stansted, Dublin, where we are being encouraged by those airports who have suffered a number of years of air traffic decline to work with them on commercial terms to grow and there is maturing in terms of base growth to grow there. On fuel costs, sorry, I forgot the question on fuel cost.
Howard Millar: Bags and weights, Michael, so, there wasn’t any impact on our fuel costs in terms of in fact, we would expect to carry less bags again this coming winter, particularly as we’ve got the second carry on bag as well. So generally bags won't impact fuel costs.
Anand Date – Deutsche Bank: So could I just have a follow-up as well?
Michael O'Leary: Yes, sure. Sorry.
Anand Date – Deutsche Bank: Just in terms of the new deals you're thinking about with secondary and with primary airports, I think in the past you almost guaranteed capacity growth, are you thinking of changing the way you are going into those negotiations, particularly with primary airports I guess? Thanks.
Michael O'Leary: No, I’d say, we have never guaranteed capacity goal, very rarely have we guaranteed capacity growth in the past. What we have generally done is, we negotiated, this will be the feature, say the 10 year growth in advance is there is certain intensive thresholds for us to grow faster and the faster we grow, the bigger the discounts get and the earlier and the longer we hold on to those discounts. That's generally the feature what we do. In most cases, at the primary airports what the discussion tends to be along the lines of, would you get – would you grow on new routes, so that you don’t thrash the local incumbent or would be an impact for real meaningful growth on existing routes, but we can work around those kinds of deals, but they don’t want to go into and to target the existing routes operated by the incumbent carrier. We’d say look, we can’t be confined into new route alone or growth on existing routes and where we finish up then in those discussions depends on which airport we choose and where we go next. So there is a discussion around the new airport testimony wanted come in, basically they done a lot and would give us free on new routes. They wanted to pay something for growth on existing routes but then not take too much traffic away from the existing incumbent which in our case it did, because we will show up at much lower air fare.
Anand Date – Deutsche Bank: Yes, and that's really interesting actually.
Michael O'Leary: Don’t – by guarantees, we remain the ultimate flexible opportunistic airline, so that if another Malev happened, I mean, if there is probably – it’s unlikely but if Alitalia went both, we would arrive down in places like Milan and Rome and some of our other Italian base. Remember now, we are going to have one airline in Italy by an addition. We are the number one at Spain, EasyJet wouldn’t even be number three in either those markets. We will find 50 aircrafts from somewhere even if we had to take him out of other markets in the short-term and shovel them into Italy, simply because we are the number one carrier and it’s the number two carrier which is Alitalia blows up or stop to operating for a period of time, we would be as duty bound to continue to serve the Italian market and those customers who depend on us in Italy.
Anand Date – Deutsche Bank: Sorry, can I just ask one more actually? I don't know how the dynamic works, but, do you get a sense that an incumbent carrier can put pressure on an airport to try and help them out, because what you're saying is the airports are charging you more on existing routes because they don't want to hurt the airlines. Is that the airport saying that or do you think that's more the operators?
Michael O'Leary: The airports try to do is to say, they publish charges on existing routes, not because they are trying to protect the existing carrier, but they are trying to incentivize us to grow new business for them.
Anand Date – Deutsche Bank: Yes, to just then growth (Inaudible)
Michael O'Leary: Yes, yes. so I mean, then to be fair, it’s not that they trying to protect us, there are some airports out there who have an incumbent carrier, although, who for a number of years have been trying to keep with those and the incumbent carrier will be tell them, well, if you let Ryanair in here, we will close, we will cut our capacity by 50%, we will take away our trolleys. But most of the airports have seen through that, I mean, that was very much a feature of lot in Poland for example for the last number of years and EasyJet has a couple of airports in the UK used to do the same thing. Frankly the airports have kind of lost, they don’t have much credibility with that anymore. I mean, in a lot of cases, EasyJet isn’t growing at many of the UK regional airports, whereas we are and the Greece have given up on Olympic and Aegean. And so, it used to be feature I think three and four years ago. I think the real meaning for the kind of takeaways here at the moment are the primarily airports are now crawli8ng on over us trying to get us to grow with their airports because they are so worried, either about the incumbent not surviving or as is the case in Italy, the incumbent surviving, but not actually paying their bills to the airport, which has also been a feature of the discussion at the number of the Italian airports. And we think that that will continue. The advantage of those kind of discussions means that it also puts pressure on the secondary airports who may have in the past, well, Ryanair will keep growing here, we’ll keep getting the growth. I love Charleroi, dearly but it’s not on helpful to our negations with Charleroi that we now have a big base in Zaventem at the same time. It does have to keep it very disciplined on both airports. And both of them are now back talking to us about more growth for summer of 2015. Now I use that just as an example, but the same thing plays out in Barcelona, in Rome, Ciampino and Fiumicino and a number of cities across Europe.
Anand Date – Deutsche Bank: Okay pop. Sorry, I've taken up a lot of time, but thanks for that.
Michael O'Leary: Not at all. Next question please?
Operator: We will next question from Orso Tamala of Oddo Securities. Please go ahead.
Orso Tamala – Oddo Securities: Hello, everybody. So, a quick one for me. I'm wondering whether you have any guidance on traffic of a primary airport as a percentage of the total traffic in 2015 and maybe your medium-term targets. Thank you.
Michael O'Leary: No, sorry, we don’t have any guidance on this.
Orso Tamala – Oddo Securities: Okay, thank you.
Michael O'Leary: I am not trying to be – we are still in discussions with a number of primary airports for summer 2015 at this point in time. We haven’t yet allocated some of the aircrafts for next year. It depends, some people you talk regards to Stansted is not a primary airport, it something regard to Stansted as a primary airport. But, the new primary airports, if you take the Lisbon, the Rome, Fiumicino, the Brussels, Zaventem, Cologne this winter Athens, there will be a relatively small overall percentage of our total passenger base. Now if you are into Dublin and Stansted, it becomes a much more significant part of our overall passenger base, but it’s not a helpful figure at this stage and the reason I can’t give it to you is, because I don’t know what the answer to the question is, and if I did I wouldn’t tell you.
Orso Tamala – Oddo Securities: Thank you.
Michael O'Leary: Thank you. Next question please. I’ve got to go out because there is some press stuff here in New York in some about five more minutes if that’s okay.
Operator: No, there are no more questions at this time from the audience.
Michael O'Leary: Thank you very much. We have an extensive road show. We have seven teams on the road for the remainder of this week. If anybody wants a meeting who hasn’t got one, please call us either through Citi or Davy’s, we will be happy to arrange a meeting or call us directly through the investor relations, John and investor relations team who will be based out at Dublin for the week. Howard, anything else, anything you or Kenny want to add over there?
Howard Millar: No, no we are happy that, we are going to have a few more questions here from the analysts in the room, just to wrap up. So, we’ll let you off Michael.
Michael O'Leary: Okay, thanks very much everybody. We’ll sign off here in New York. God bless. Bye-bye.
Unidentified Company Representative: I think the key thing is (Technical Difficulty)
Operator: This will conclude today’s conference call. Thank you for your participation ladies and gentlemen, you may now disconnect.